Operator: Thank you for standing by, and welcome to the Equitrans Midstream Q4 and Full Year 2020 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation there will be a question and answer session.  Please be advised that today's conference is being recorded.  Thank you. I would now like to hand the conference over to Nate Tetlow, Vice President, Corporate Development and Investor Relations. Mr. Tetlow, please go ahead.
Nate Tetlow: Good morning, and welcome to the year-end 2020 earnings call for Equitrans Midstream Corporation. A replay of this call will be available for 14 days beginning this evening. The phone number for the replay is (800) 585-8367 or (416) 621-4642. The conference ID is 4233629.  Today's call may contain forward-looking statements related to future events and expectations. Please refer to today's news release and risk factors and ETRN's Form 10-K for the year ended December 31, 2019, and is updated by Form 10-Qs for factors that could cause the actual results to differ materially from these forward-looking statements. Also, the Form 10-K for the year ended December 31, 2020, is expected to be filed with the SEC later today. Today's call may contain certain non-GAAP financial measures. Please refer to this morning's news release and our investor presentation for important disclosures regarding such measures including reconciliations to the most comparable GAAP financial measure. On the call today are Tom Karam, Chairman and CEO; Diana Charletta, President and Chief Operating Officer; Kirk Oliver, Senior Vice President and Chief Financial Officer; Justin Macken, Senior Vice President, Gas Systems, Planning and Engineering; and Brian Pietrandrea, Vice President and Chief Accounting Officer. After the prepared remarks, we will open the call to questions. And with that, I'll turn it over to Tom.
Tom Karam: Thanks, Nate, and good morning. We hope everyone is continuing to stay safe and healthy. Today, we reported full year net income of $638 million and adjusted EBITDA of $1.2 billion. Kirk will provide more details on the financials in a few minutes. 2020 was an unprecedented year as we all navigated the pandemic. E-Train acted quickly to implement COVID-19 protocols, all while achieving a number of very significant accomplishments. We executed a new 15-year gas gathering agreement with EQT, establishing the foundation for long-term stable cash flows and enhanced capital efficiency. We simplified our structure by rolling EQM into ETRN. We advanced our ESG efforts, which included publishing our first comprehensive sustainability report and also recently establishing our climate policy. We strengthened our liquidity and balance sheet through a $1.6 billion long-term bond offering. We made slow but certain progress with MVP. And lastly, our operations teams didn't miss a beat during a very challenging environment, continuing to deliver results all while maintaining the highest safety standards.
Diana Charletta: Thanks, Tom, and good morning, everyone. Let's start with MVP. In January, the project secured another key permit as the Bureau of Land management granted a right-of-way permit for MVP's crossing in the Jefferson National Forest. We are currently working on the single outstanding regulatory approval, which relates to our remaining water body and Wetland crossings. The water body authorization is a two-pronged approach. First, MVP has applied to the Army core districts for an individual project permit to implement open cut crossing techniques on a selected group of water bodies. And second, MVP has submitted a certificate amendment application to the FERC, requesting to utilize trenchless crossing methods for certain crossings previously approved as open cut. Our primary focus is on the process and ensuring the agencies have everything they require to perform a thorough review and issue authorizations that will withstand challenge. One quick note on the legal side. Last Friday, the DC Circuit Court of appeals denied a motion for stay brought by project opponents related to several FERC orders. We are pleased with this decision and appreciate the comprehensive work that has been and continues to be done by FERC and all the federal agencies involved. In terms of construction, our current view is that we will have all permits in hand by midyear allowing us to ramp up to full construction. This would still allow us to meet the targeted full in-service date in May 2021. The total project cost estimate remains approximately $5.8 billion to $6 billion. At the midpoint, E-Train expects to fund approximately $2.9 billion of the overall cost. Moving to gathering. For the full year 2020, we averaged 8.2 Bcf per day of gathered volume, which was roughly a 5% increase over 2019. We did see a nice uptick in Q4 volumes, which averaged 8.6 Bcf per day as the summer and fall volume curtailments were back online. We continue to expect our producer customers to be less focused on volume growth in 2021 and more focused on efficient capital deployment. As such, our 2021 guidance reflects roughly flat year-over-year volumes. Now for a short recap of some of our 2020 and more recent ESG efforts. In 2020, we published our first comprehensive sustainability report which was produced in accordance with both the GRI and Phase B reporting standards. Our report is available on our website and offers easy-to-navigate functionality. Beyond the formal report, we also took several tangible steps during the last 12 months, including establishing the Board appointed role of Chief Sustainability Officer, increasing our Board to 9 directors, including the addition of 2 new female directors. Our Board now includes 8 independent directors, of which half are female.
Kirk Oliver: Thanks, Diana, and good morning, everyone. This morning, we reported full year net income attributable to E-Train common shareholders of $364 million and earnings per diluted E-Train common share of $1.06. Net income was $638 million, adjusted EBITDA was just over $1.2 billion. And deferred revenue was $226 million. We also reported full year net cash provided by operating activities of approximately $1.1 billion and free cash flow of $317 million. For the quarter, net income attributable to E-train common shareholders was $118 million and earnings per diluted E-train common share was $0.27. Net income for the quarter was $137 million. Adjusted EBITDA was $286 million, and deferred revenue was $77 million. In the fourth quarter, we generated $370 million of net cash provided by operating activities and $87 million of free cash flow. Net income for the quarter was impacted by a $21 million unrealized loss on derivative instruments, which is reported within other income. This is related to the contractual provision entitling E-Train to receive cash payments from EQT, conditioned on specific NYMEX Henry Hub natural gas prices exceeding certain thresholds during the three years post MVPs in service. After adjusting for the loss on derivative, Q4 adjusted net income attributable to E-train common shareholders was a $134 million and adjusted earnings per diluted E-train common share was $0.31.
Tom Karam: Thanks, Kirk. So in summary, 2020 was a busy year with a number of accomplishments that should position us well for the coming years. Our long-term strategy is designed to consistently generate substantial free cash flow, allocate our capital and free cash flow with discipline and deliver maximum value to our shareholders. Before taking your questions, I wanted to briefly comment on what we saw last week in Texas with the winter storm, power outages and the aftermath. First, we hope all our friends, families and colleagues are safe and doing well. This event highlights the critical role of energy infrastructure. We need major upgrade investments in our electric grids across the nation. Alongside this, we need continued investment in natural gas infrastructure to maintain the baseload certainty of demand. Projects like MVP that will serve the southeastern United States will safely transport the natural gas supply needed to ensure that baseload certainty can be achieved. Last week taught us all that reliability cannot and should not be ignored. Everyone expects to be able to heat their homes in the winter, and cool them in the summer. Access and reliability must be the first priority. And we firmly believe natural gas and natural gas infrastructure has a long-term integral role in delivering this reliability. We stay safe and wash your hands.
Operator:  Jeremy Tonet with JPMorgan. Your line is open.
James Kirby: This is James on for Jeremy. I just wanted to start. I noticed the EQT is building their own water infrastructure. I believe they mentioned in earnings. Just wondering maybe if there was any conversation to have that constructed by you guys and what the relationship is kind of going forward with the chevron assets?
Justin Macken: This is Justin. Just touching on EQT's plans. So we have a lot of our water assets in Pennsylvania and some in Ohio. But our focus has really been on leveraging those existing water assets in Pennsylvania going forward. EQT does have some existing water assets in West Virginia and we'll likely be able to leverage those as they build out their new water system. We have a lot of construction synergies in Pennsylvania as we build out the gas and water infrastructure together. Because of the location of the water sources in West Virginia, we don't see as many opportunities to co-locate gas and water facilities and realize those capital synergies unless we're giving it. So we've had those conversations with EQT and certainly understand their plans in West Virginia and how that makes sense for them. And just to reiterate, we're very much focused on realizing all the capital efficiencies on our build-out considering them.
James Kirby: Got it. And that makes sense. I appreciate the color there. And then just looking at the CapEx, I think 2020 came in a little below what you guys guided to. Just wondering what the moving pieces were there, if there's anything push into 2021? And then just on the gathering side, is that just well connect given EQT's kind of operating at a maintenance mode, and that's just the well connects there hooking up to your system next year? Is there something else embedded in that?
Justin Macken: Sure. 2020, we started to realize some of the benefits of the EQT gathering deal and the capital efficiencies built into that arrangement. As we look at '21, most of it is well connect. I do want to mention also of a little over $300 million in gathering CapEx that we do have. We also invested $50 million of compression projects built into that. And those compression projects also bring with them incremental fees, even if it's not increasing the volumes, it's probably a little bit different than what we would consider to be sustaining CapEx because those projects do carry some additional revenue with them. But outside of that, you're right. It's mostly well connected for EQT and the other producers we work with.
Operator: John McKay with Goldman Sachs. Your line is open.
John Mackay: I wanted to ask about the FERC amendment request process. So you filled that last week, looks like there's about 120 boards to do. I know you can do a lot of these in parallel, and some will take more time than others. Just wondering if you can share any more detail on when you expect to be able to start that? And then really, I guess, how many crews you can have along the right-of-way at once?
Diana Charletta: So let me just take that as an opening, this is Diana. And maybe I can answer everybody's MVP questions all at one time. So we have two primary types of construction work remaining. We have the uplands in the Jefferson National Forest and Parts of Virginia. And then we have the water crossings. We've completed the compressor stations and original interconnect. So that work is all done. We have about 265 miles of pipe welded, which leaves approximately 40-ish miles to complete. So the water crossings are all included in that mileage. We estimate that we can complete the uplands work. And as you ask the water crossings inside of six months, and our schedule assumes the remaining approvals by midyear. So given that we aren't starting from scratch, the same route, the same crossing, considering the amount of data that the agencies have already reviewed, we expect the agencies, the Army core, FERC, West Virginia DEP, Virginia DEQ, will take four to six months to complete their work and issue their approvals of the water crossings, which then does include whatever conic periods that they have to do. So this time frame is built into our schedule and guidance. I think that's the nuts and bolts of everything. There are different paces of the right-of-way that we can have different crews, that kind of thing. But we do -- the crossings, we believe we can get done in under six months.
John Mackay: Maybe just one more on that side. Can you just talk a little bit more about the -- so you mentioned the borrowing process. But for the individual permits, just what that process actually looks like? And maybe if you can share anything in your conversations with Virginia at this point?
Diana Charletta: Sure. So for the individual process for the permits, the agency will follow a very well-established section 404 permitting process. It includes analysis of open cut crossing and public input. There is a well-established process to receive the 401 water certificates. We have to get that from West Virginia and Virginia, and that intended to happen concurrently inside that Army core process. We have had conversations with them, obviously, but we did just submit 66 hundred pages in our application. So it's going to take them a little bit to digest, and then we'll be able to talk more about what that time frame looks like.
Operator: Spiro Dounis with Crédit Suisse. Your line is open.
Spiro Dounis: Diana, first one for you. Sorry to disappoint you. You almost answered a few questions, I did have some follow up, unfortunately. Just in terms of -- from this, it's helpful on the time line for six months for the agencies to work that out. Just curious in terms of the goalpost that we should be looking for. I know there's a public common period, a lot of back and forth around things like that. Could you just -- for the benefit of the people on the call walk us through some of the big mile markers you see as sort of -- as that process plays out?
Diana Charletta: So I don't know that there is anything. Obviously, the Virginia and West Virginia approvals from the DT, the DEP will happen within there. And then the FERC will ask whatever questions and whatever additional information they need from us, we'll get that back to them. There are some comment periods in both processes, but I can't tell you exactly when those will happen yet. So I think it's really -- I don't know that there is anything that I can point to concretely that should be the first thing you see.
Spiro Dounis: And just one more follow-up on that as well. Just in terms of thinking about that 6 months or under six months to complete the water crossings. Is that -- that clock start once you have the permit in hand? Or is there preliminary work you're kind of doing ahead of that? And so really, once you get the permit, it's something less than 6 months or well inside of it.
Diana Charletta: So it's well inside of it. Obviously, we can be doing the open cuts with certain crews, and we can be doing the boards with other crews. So those two things, they don't have to be done in some kind of series. They can all be done in parallel as long as -- and I don't think we're going to have any problem getting crews as far as activity goes. So well inside six months.
Spiro Dounis: But
Diana Charletta: We have -- sorry, we do have lot more work that we can do before that to prep and be ready. We have the ability to be working, and we probably won't start that though until the weather breaks and get moving on that.
Spiro Dounis: Last one quickly. I'm sorry if I missed it, but guidance for 2021 seems to imply a step down in EBITDA generation for the back three quarters as opposed to the first quarter. And so just curious what's driving that decline in the latter part of the year? And really what I'm getting at is how much of that is you being conservative versus kind of firm gas from some of your producers?
Diana Charletta: So as far as volumes, we did see an uptick in fourth quarter volumes last year, and we're certainly happy to see that. Right now, we are guiding to flat, which is what we have been hearing from our producers. We did see some curtailments due to pricing last year. So as we -- it's still kind of early for us to be more optimistic than not. So we're kind of sticking with the flat right now, and we'll go from there. We're lumpy because of the usage on the system as far as quarter-to-quarter, but nothing really big.
Operator: Brian Reynolds with UBS. Your line is open.
Brian Reynolds: This is Brian Reynolds on for Shneur Gershuni. On the gas gaping agreement, my understanding that if MVP is not online by one '22 that you could see as the optionality for a $200 million cash payment or to lower its cost structure. Could you guys provide some color around potential payment? And could this potentially reduce G&P and/or transportation fees on MVP?
Justin Macken: Yes. That was related to the shares that we repurchased from EQT. So if you recall, we bought back 25.3 million shares of E-Train. So the payment they would receive is really consideration for those shares. So as the agreement sits today, once MVP is in service, EQT would be entitled to two years of rate relief as consideration. But if MVP is not in service by January of '22, EQT could elect to take that consideration in the form of a onetime payment and forgo the gathering rate release.
Brian Reynolds: Great. And is there -- I guess, would it be just cash consideration? Or is there, I guess, any type of color around how that payment would happen, would happen on January 1? Or is it kind of still in a negotiation period?
Justin Macken: It would be a cash payment. I believe they have one year to exercise that option. So I think to just have to make a decision if MVP is not in service starting in January. They can elect that option if they so choose.
Brian Reynolds: And I guess just as one quick follow-up. Is there a resolution to Hammerhead? Or does -- ultimately, does that come with more clarity around MVP and service time line and kind of negotiation with EQT ultimately?
Tom Karam: Yes. This is Tom. There's no resolution yet. Hammerhead isolated issue is in arbitration and that will run its own course completely separate from all the other activity that we have going on with EQT and separate from anything having to do with MVP.
Operator: Alex Kania with Wolf. Your line is open.
Alex Kania: Two questions. First, could you just kind of go through the -- kind of how maybe AFDC accounting changes for this year and secondly, just a couple of your partners kind of have elected to impair their investments in MVP. I'm just kind of wondering kind of what -- how -- is there a difference of opinion? Or is this just really a call based on their accountants? And then to the extent that there is an impairment at some point, does that actually have any kind of impact to kind of credit or anything like that, that maybe that we should be thinking about?
Kirk Oliver: Yes, this is Kirk. So I -- if I can remember them, I'll try to go in reverse order. So if there were an impairment, there's -- it doesn't create any problems in any of our indentures or credit agreements or anything of that nature. On the impairment, we've been consistent in our approach and how we look at the impairment, and we'll continue to be consistent. We're not afraid to take an impairment. We're following the accounting rules. And we just don't see an impairment at this time. And then I think your other question was on the AFUDC. And basically, there's been a lot of fits and starts on MVP over time. And so what we've decided to do going forward is to just accrue the AFUDC on the actual construction of the pipe, what we're calling kind of the growth component of getting the project done. We're no longer going to be accruing on maintenance capital that's going into basically way we set the pipe.
Alex Kania: So that doesn't -- and obviously, it doesn't impact cash or anything like that?
Kirk Oliver: No,
Alex Kania: So I guess -- right. And then I guess maybe this is following up on the water permits, but just is there -- it seems like you've probably been working with the agencies to make sure that you've got fulsome applications. Does it feel like just the kind of the tone of conversations is pretty constructive. And it feels like these are very kind of straightforward approval processes. I'm just wondering if there are any kind of pitfalls or anything like that or even maybe early indications that we may get from any agencies prior to this kind of this four to six month approval process?
Diana Charletta: Yes. So it's a pretty comprehensive filing. The data is all there. This is a normal standard course of business permit that -- as far as the water cost in Crème goes that everybody gets not just not gas. So it's renewables asked for these same kind of individual permits, electric and power sectors. So it's something they do in normal course of business, and we don't expect anything too crazy to come out of it.
Operator: Derek Walker with Bank of America. Your line is open.
Derek Walker: Maybe just a quick one around the conversations with private agencies. I think EQT mentioned that it sold down so this capacity. You talked about some of the partners taking impairments, I guess, just how -- and obviously, this wholesale application that you just filed with the core and FERC, I guess, how have those conversations gone with the credit agents?
Kirk Oliver: Yes. We stay in dialogue with the agencies treasury team stays in communication with them and tries to keep them updated, and we don't surprise them. The agency big focus with us is -- and just basically continues to be what it has been, which is MVP. So that's what they're really watching. They haven't given us any there's no line that's been drawn in the sand on anything around that, but that's -- I mean that's -- that's obviously their point of focus.
Derek Walker: Maybe just a quick follow-up. And Diana, I appreciate your comments around the comprehensive application. But if we do see a FERC commission sort of the majority change for the midyear, does that kind of change how you guys think about how these -- how the applications can get reviewed?
Diana Charletta: No. It doesn't really change the review process. We've been in close contact with FERC and staff and understand what they need as far as the application. And we've had good comments as far as from for commissioners as to meeting the permits and then being able to proceed.
Operator:  John Mackay with Goldman Sachs. Your line is open.
John Mackay: Just wanted to ask a few more follow-ups. EQT talked about being able to offload some of its capacity on MVP. Just curious if you guys might be able to share who was taking that up, and I know they're running the process, but really anything else on that front that might be helpful.
Tom Karam: Yes, John, this is Tom. No, we can't share anything beyond what EQT has said in that regard. And clearly, we're well aware of the activity and are in fact, supportive of it. I think it's -- we shouldn't read too much into this. I mean, historically, it's been the natural progression of long-haul pipes that they were initiated and originated by supply push issues that then, over time, transition to demand pulp customers. And by the production company releasing some of its capacity, that doesn't mean that they won't make firm gas sales to fill that capacity so that you could misread it to say, well, gee, the pipe isn't needed any longer when in fact, what it is, is a transitioning to the demand pull customers, holding the capacity for their own reliability and certainty and then coupling that with firm gas sales from some of those same upstream customers. So we're supportive of it. We think it's the natural progression and transition of many long haul pipes, and we think it's a situation where it could be beneficial to EQT, anti E-Train and to the downstream demand pull customers.
John Mackay: That's fair. That makes a lot of sense. That absolutely helps too when you guys try to do the debt refinancing on MVP. So definitely makes sense, just taking a bit any more color. Maybe I'll just follow-up with one last one. Back to EQT, there should be some other development from West Virginia -- or sorry, two West Virginia from Pennsylvania. Does that have any impact on you guys this year? Is that baked into guidance? Or could that be upside?
Diana Charletta: That's baked into guidance that's part of the new gathering agreement that we signed with them, that dedication. So it's well in our plans.
Operator: There are no further questions at this time. It is now my pleasure to turn the call back over to Tom Karam for closing comments.
Tom Karam: We'd just like to thank everybody for joining the call today and to stay safe, wash your hands. And hopefully, we'll talk to you again soon. Have a good day.
Operator: This concludes today's call. We thank you for your participation. You may now disconnect.